Operator: Good day, and thank you for standing by. Welcome to the Ferrari 2025 Full Year Results Conference Call and Webcast. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your first speaker today, Nicoletta Russo, Head of Investor Relations. Please go ahead.
Nicoletta Russo: Thank you, Nadia, and welcome to everyone who is joining us. Today, we plan to cover the group's full year 2025 operating results, and the duration of the call is expected to be around 60 minutes. Today's call will be hosted by the Group CEO, Mr. Benedetto Vigna; and Group CFO, Mr. Antonio Picca Piccon. All relevant materials are available in the Investors section of the Ferrari corporate website. And at the end of the presentation, we will be available to answer your questions. Before we begin, let me remind you that any forward-looking statements we might make during today's call are subject to the risks and uncertainties mentioned in the safe harbor statement included on Page 2 of today's presentation, and the call will be governed by this language. With that said, I'd like to turn the call over to Benedetto.
Benedetto Vigna: Thank you, Nicoletta, and good morning and afternoon to all of you. We just came back from San Francisco. Why is this opening chart showing the Transamerica building of San Francisco with the red tip and the bright light on the dome? Well, it was exactly this building where we have been showing the journalists from all over the world, the interiors of the Ferrari Luce. This is the name of our visionary new full electric sports cars. It testifies to Ferrari's determination to go beyond expectations, imagine the future in two days, because leading means illuminating the path ahead, and Luce embodies that mindset. We picked this place for three reasons. The first one is because of the tight link between San Francisco and Italy. It was that building -- this building. It was the headquarter of Transamerica company founded by Italian Amadeo Peter Giannini. It was also founder of Bank of America. And this building is located in Little Italy in San Francisco. Second, because of the closeness to our partner LoveFrom whose headquarters is just a few steps away from the Transamerica building. And the last one, the connection with the name of our Ferrari Luce. Indeed, the crown jewel that you see at the top of the building is a strong 6,000 watt light that turns on only on special occasion, and this was definitely a special occasion. Everyone, everyone over there appreciated a lot of the specific focus on the second step of the Ferrari Luce revealed, so that all the innovation could be properly valued and understood. 2025 has been a remarkable year for our company. It has been a year of consistent execution and a year of new beginnings, a year of new commitments and a year of strong innovation, during which we launched 6 new sports cars, a clear testament to our horizontal product diversification and technology neutrality strategy. This included the long-awaited Ferrari Luce, which marks a new chapter in our history and allows us to look confidently towards the future. So let's go in orders. 2025 marks the conclusion of our previous business plan, with all financial target, including share buyback plan achieved one year ahead of schedule. And it maps also the outline of our new strategic plan. On October 9, at our Capital Market Day here in Maranello, we shared with you our plans for the future, underlining once more the uniqueness of our brand. And we presented all the initiatives designed to drive our brand's success until the end of this decade and beyond. In sports cars, in 2025. On top of the Ferrari Luce, we have further enriched our product lineup with 5 new models encompassing internal combustion engine and hybrid powertrain. Just think about the 8 cylinders Ferrari Amalfi, a blend of elegance and power. The hybrid high performing 849 Testarossa Coupe and Spider and the hybrid 296 Speciale and Speciale Aperta, a new benchmark for driving trails. Clients are at the center of what we do, and they represent the most important asset of our business model. Indeed, client centricity starts with the craftmanship and quality of our products, continues through the high level of tailoring we are able to offer. It comes to life in the unique experience we design and deliver for our clients all over the world. Our client centricity approach also resulted in the reintroduction of a more physical interface, a steering wheel with mechanical buttons, which leads to an enhanced driver experience. Indeed, we believe that humanism of technology is key for all our sports cars to deliver an enhanced experience for our clients, and this is also evidenced by the interiors of our Ferrari Luce. In racing, in racing the 499P hypercar secured us the 2025 FIA World Endurance Championship. Ferrari won both the World Manufacturer's and Driver's titles 53 years after our last World title and after only 3 years since our return to the top class of endurance racing. I was in Bahrain with the team, and I will always remember the emotion of winning such championship. This is a demonstration that when we in Ferrari work united and cohesive, we can achieve extraordinary results. In lifestyle, 2025 has been a year of solid progress and commitment to provide our clients with an exceptionally luxury experience. Client activations continue to be successful and a critical driver for engagement and acquisition. And also, the growing desire for experiences is confirmed by new attendance records at our museum. In 2025, the museum that we have in Maranello and Modena welcomed almost 900,000 visitors. What we achieved together with all our stakeholders is also translated into our strong financial results reaching new records across all metrics. One, revenues over EUR 7.1 billion; two, double-digit growth in EBIT, which reached over EUR 2.1 billion; and three, an industrial cash flow generation surpassing EUR 1.5 billion. Everything I've mentioned so far has been made possible thanks to the passion and dedication of all the colleagues in Maranello, in Modena and all over the world. And to reward their achievements and is a direct reflection of the company's performance, a strong alignment with its people, I'm pleased to announce the yearly competitive award of up to EUR 14,900 for our employees in Italy. The solidity of our business is underpinned by demand dynamics and the visibility we have. The momentum for our brand remains strong with a solid order book, which extends towards the end of 2027 and the net order intake supporting further visibility, notwithstanding the persistent uncertainty in the global environment. In addition, residual values are stable and solid, as evidenced by the recent auctions which achieved strong valuations. They keep on being for us a structural foundation for value and brand discipline. And now, now let's look ahead to 2026. And let me outline our priorities for this year. In sports cars, a key focus will be the complete introduction of the Ferrari Luce in our product range. In San Francisco, we made further progress with the reveal of the interior concepts that offer a tangible insight into the design philosophy behind the model, where innovation meets craftmanship and cutting-edge design. You can read many positive comments of journalists from all over the world who are with us. But there is one in particular I will always remember. He said you have blown all of us away, and you couldn't have selected a better name for this car and a better place for it. In May, their journey will culminate with the third step, the world premiere of Ferrari Luce. We selected Rome, May 25, as the day for the final reveal of Ferrari Luce, as on the same day in 1947, the Ferrari 125 S, the first Ferrari of our founder, secured its first victory with driver Franco Cortese, who by the way, said if you were used to 4 and 6 cylinders, these 12 cylinders, feels like an electric motors. It revs very easily. And beyond the completion of unveil of Ferrari Luce, in 2026, we will continue to enrich our product offering with 4 exciting model launches. On the industrial side, the construction of new paint shop will continue as planned, and all our sports cars will be tested on e-Vortex. In racing, here, we confirm our commitment and effort in the World Endurance Championship with our 499P hypercars. In Formula One, building on the lessons learned from a tough past season, we face the challenge posed by the new regulation with unity and confidence in the team. We step into this new phase with a very clear mindset to be realistic, to be disciplined and to improve continuously. In 2026, we will also continue to progress in our sailing adventures With Hypersail, we are preparing a revolutionary boat for an unprecedented new sporting arena. Our boat will touch water before year-end. In lifestyle, in 2026, we will continue to execute our strategy with consistency and sophistication. Here, the team will be focused on the opening of two new flagship stores in iconic locations: In London in the first part of the year; in New York in the second part of the year, conceived as immersive backdrops for client activation and designed to further enrich the Ferrari offering of products and experiences. On the financial side, Antonio will be very clear about our target for 2026. Let me emphasize that 2026 represent a further milestone in our journey towards 2030, another year of growth which will mark continued progress in line with the ambition presented at our Capital Market Day. We look ahead with discipline that is required in the current context and with confidence in the long-term opportunities that lie ahead of us. And now I hand over to Antonio to review the fiscal year 2025 year result. Thank you.
Antonio Picca Piccon: [Foreign Language] Benedetto. And good morning or afternoon to everyone joining us today. In 2025, we posted solid growth, expanded our margins and kept on investing in our future while navigating the complexities of today's work. All our business, they mentioned positively contributed to growth. Within sports car, the overall mix continued to improve compared to the prior year despite the gradual phaseout of the Daytona SP3 and allow us to manage the U.S. tariff evolution, limiting its dilutive impact. We grew our revenues from racing, thanks to new partnership and leveraging the extensive work on both the composition and contribution of our sponsors. For lifestyle, the growth pace was the right one as we continue to invest on its development. In Q4, a cost base lower than anticipated and a better product mix drove us to exceed our 2025 guidance. The cost base were further improved by an R&D government grant received before year-end and the reduced racing expenses related to the fourth position in the Formula 1, 2025 championship ranking. Finally, it's worth reiterating that we reached the 2026 financial targets outlined at the Capital Markets Day of 2022, 1 year in advance, along with the conclusion of the EUR 2 billion share buyback program. Further, we give an overview of our shipments in 2025, which were deliberately kept flat year-over-year and our product portfolio evolution as we enter 2026. To be noted that in the year just ended, the Dodici Cilindri family ramped up and reached global distribution. The SF90 XX family reached its peak and Daytona SP3 concluded its limited series run in Q3, while the first few units of the F80 were delivered in Q4. We anticipated in the last earnings call that in the second half of 2025, we started a significant changeover of models, which will be evident over the next quarter. Indeed, this year, we have 7 new models, a record number, which entered the production and distribution phases and will shape the pace of our deliveries and their geographic allocation throughout 2026. Namely, the families of the 296 Speciale and the 849 Testarossa will take the place of the 296 and the SF90 families, while the Amalfi will succeed the Roma. In addition to that, the F80 has started its ramp-up phase, and the Ferrari Luce will begin its deliveries in Q4. On Page 8, the net revenue bridge shows an 8% growth versus the prior year at constant currency. This translates into a 7% growth, including the headwind from currency, mainly related to the U.S. dollar and the Japanese yen. The increase in cars and spare parts was driven by the retail product and country mix as well as higher personalizations, partially offset by lower deliveries of the Daytona SP3. Personalizations accounted for approximately 20% of total revenues from cars and spare parts and were particularly relevant for the SF90 XX family and the Purosangue, driven by the adoption of carbon and special paint. Sponsorship, commercial and brand also had a relevant increase, thanks to higher sponsorship and the improved performance of the lifestyle activities as well as higher commercial revenues linked to the better prior year Formula 1 ranking. Other revenues were positive and driven by sports-related activities and financial services. Moving to Page 9. The change in EBIT is explained by the following variances. Volume contribution was substantially flat with a slightly positive change being due to spare parts. Mix and price was visibly positive, thanks to product and country mix, supported by Americas, increased personalization and higher sales of the 499P Modificata. In detail, regardless of the tough comparison base and the phaseout of the Daytona SP3, the product mix was strong and sustained by the higher end of our product offering, with the SF90 XX and the Dodici Cilindri family. Industrial costs and D&A were both lower, partially offset by higher racing and sports car innovation expenses. SG&A increased as a result of higher rating expenses and brand investment as well as of our organizational and digital infrastructure development. Other was also positive, mainly thanks to racing and lifestyle activities. Percentage margins strengthened in the year despite the dilutive impact of the increased U.S. import duties and the headwind from the U.S. dollar and the Japanese yen devaluation with EBITDA margin of 38.8% and EBIT margin at 29.5%. Turning to Page 10. Our industrial free cash flow for the year surpassed EUR 1.5 billion, an increase of roughly 50% versus last year. This was supported by the increasing profitability and a positive change in working capital, thanks to the collection of F80 advances. A partial offset came from capital expenditure focused on product and infrastructural development, with the latter being mainly represented by the ongoing construction of the new paint shop and the completion of the new Evo test track and net cash interest and tax payments reflecting the evolution of the Patent Box regimes. The remarkable industrial free cash flow generation for the year allowed us to increase the shareholder remuneration by roughly 30% to over EUR 1.3 billion between dividends and share repurchases. Moving to Page 11. We outline our 2026 targets. We expect 2026 to be another year of consistent growth based on the following assumptions. On sports car, we will execute our planned model changeover through the year, which will lead to a further positive product mix supported by the F80 and new models ramp-up regardless of the lower deliveries of the SF90 XX family and the 499P Modificata. On a comparison basis with 2025, we anticipate a stronger product mix variance in the second half of the year. Personalizations are currently expected to stay around 20% of cars and spare parts revenues. The evolution of sponsorships and lifestyle activities will further support the top line growth. The increased investments in developing the brand and the lifestyle retail network as well as raising and digital transformation expenses will drive higher SG&A. And finally, depreciation and amortization will also be higher, in line with the start of production of new models. As to the bottom line, we expect the effective tax rate to be around 23% as we keep on benefiting from the current Patent Box regime only. The underlying assumption for the U.S. dollar exchange rate is of about 120 against the euro, resulting in a headwind compared to 2025, including hedges. The industrial free cash flow generation will be sustained by our profitability, partially offset by CapEx slightly higher than in 2025. Today's strong results testify the uniqueness of our business model and the flexibility inherent in it, which continue to provide us with strong visibility and confidence in our future despite the ongoing challenges posed by the global scenario. Thanks for your attention, and I turn the call over to Nicoletta.
Nicoletta Russo: Thank you, Antonio. Nadia, we are now ready to take all the questions. Thank you very much.
Operator: [Operator Instructions] And now we're going to take up the first question, and it comes from the line of Ed Aubin from Morgan Stanley.
Edouard Aubin: I have two questions. The first one, please, on the margin bit in Q4. Antonio, you talked about the guidance of '26, which you expect your operating margin to be flat to up. And you gave some brief indication on the phase-in. So should we understand that your operating margin should be flat to down year-over-year in H1 and then up in the second half? And related to that, if you can come back on the growth and net impacts on the FX? And then my second question would be on the ramp-up of the F80. Are we right in understanding that it could kind of follow a similar pattern than the Daytona? And if that's the case, I think on my calculation, I think you implied about 200 units, year 1 360 and then 240 in year 3. If you could comment on that, that would be really helpful.
Benedetto Vigna: Thank you, Edouard. So Antonio?
Antonio Picca Piccon: Yes. As to the margins, I think what we can tell you is that the -- but first of all, margin bit in Q4, I think I have explained lower cost base, and I mentioned what is driving that. And then the positive impact of the product mix that has been slightly better, driven by the number of the Dodici Cilindri and [ family ] as such, that have been delivered in the last quarter. What we can tell you about 2026 is that we expect the mix to be compared to 2024 to be stronger as a variance in the second half of the year. And the cycle also is clearly next year and not yet at full global distribution, but we expect to have a steady improvement over the course of the quarters
Operator: Now we're going to take our next question. And the question comes from line of Jose Asumendi from JPMorgan.
Jose Asumendi: Two questions, please. Can you comment on '26 on the guidance? Are you expecting mix on pricing to offset higher SG&A and high industrial costs and R&D as a bucket basically make some pricing to offset the other deal headwinds, which include SG&A industrial cost and R&D? And then the second question, can you comment please on CapEx and R&D expenditure in '26?
Antonio Picca Piccon: Yes. We do expect mix and price to more than offset cost. With respect to CapEx, I think we expect it to be slightly higher compared to 2025, as I just mentioned before. And with respect to R&D, we expect R&D expense to the P&L. Once again, we expect them to be pretty stable with maybe an element of volatility that might be related to the expenditure in the -- in Formula 1. So this innovation expenses due to the new technical regulations and the allowance, and there are granted to the teams with respect to the financial regulations for 2026.
Operator: And now we're going to take our next question. And the question comes from the line of Monica Bosio from Intesa Sanpaolo.
Monica Bosio: The first one is if you can share with us which are the models that are grow -- that are driving your order book the most, if you can share with us? And if you have already seen an impact in terms of new clients from the Amalfi?
Benedetto Vigna: Thank you, Monica. So the model that are driving the order book are the model that we announced, that we unveiled the last year. So this is true for the '26 Speciale, for the Testarossa and the Amalfi. Number two, yes, we see that for the Amalfi, we see a new client new to the brand, approaching us. So we have done a deep analysis and we see that several clients are coming from some specific brands that like the performance and the elegance of our cash.
Monica Bosio: Perfect. Is there any differences in terms of geographical distribution as for these new clients?
Benedetto Vigna: There is a difference. There's a good point. There is a difference because we are showing the Amalfi with some time delay in the different countries. So where the country has been already the car. So has been already shown. Clearly, the people could see in reality of the car, when you see in reality to the car, and this is true for all the car we make is much different than when you see on the display. So it's a matter of, I would say, as the time goes and we show the car, we see more and more interest from the people.
Operator: And now we're going to take our next question. And it comes from the line of Stephen Reitman from Bernstein.
Stephen Reitman: Two questions, please. Could you give a bit more detail on the level of F80 shipments in the final quarter of last year? And secondly, on residual value trends and also the used market and just dealer attitudes, could you comment on what's been going on? I understand that there's been quite a noticeable pickup in used vehicle sales in the U.K. after you throttled back shipments by about 30% of the U.K. market of new cars in 2025. And also, what is the state of -- are you -- or cost obviously monitoring your dealers, what is their level of confidence in the brand?
Benedetto Vigna: Okay. I'll start from the last one. The level of confidence of the brand is very strong. We see the strength of this confidence, I mean is strong as it was. So actually, I have to say that in the second part of the year, there has been even a strengthening of it because there's a lot of innovation coming with different products. It comes -- when it comes to residual value, Well, I would like to say to remember, Stephen, two things, is stable and solid, okay? The residual value is stable and solid. We said that already that the U.K., the residual value is stabilizing. Also because we have been -- if you remember well, we reduced the shipment. When it comes to the detail of F80, I would like to underline one point, one, we started the production as planned. Two, we shipped a few units in Q4, and this unit ended in the hand of customers all over the world. But we don't want to be specific to tell how many units have been shipped to home. What I can tell you that in Asia, in U.S., in U.K. and in Middle East, there are people that are enjoying our F80. We know because there are actually, some people even enjoying and doesn't know.
Stephen Reitman: If we look at -- you just gave some guidance, you said that supercars and Icona were about 1% of your overall shipments. So if we simply do the maths and even take into account routing errors or something like that, this still takes us maybe potentially to probably at most, 200 units, including, obviously, about 177 of the Daytona SP3. Would that be a correct way of thinking about things?
Benedetto Vigna: Look, I don't want to comment about specific numbers. I think that the percentage are a good representation of the reality. But I think you know what is the pattern of our supercar and Icona, you can make some assumptions, but I don't want to be specific on the number of cars we shipped and where we are going to ship F80-wise exactly.
Operator: Now we are going to take our next question. And it comes from the line of Horst Schneider from Bank of America.
Horst Schneider: First one is on foreign exchange rates. So maybe you can provide some indication what's going to be the impact on the bottom line this year? And my question would be also if you consider maybe pricing FX to customers, I know you don't do that so far. But maybe you consider doing that? And the second question would be about the CO2 targets. We had this proposal from the EU Commission in December, and they maybe relax the targets. There's no ICE been anymore, maybe in Europe. Does it change any of your plannings maybe on projects that you say maybe in 2, 3 years, you can have again less BEVs? And instead, you have more PHEV or more ICE vehicle even. I mean, the fact or just in Europe, there is emission regulation left in the U.S. if we don't have any CO2 regulation anymore. So I think it comes back to the ratio also you guided for the CMD.
Benedetto Vigna: Thank you, Horst. Let me a little bit straight. We had an introduction in this speech talking about Bank of America. You are from Bank of America. Anyway. We'll give you the answer, okay? I think Antonio will manage the first one, or jokes aside apart. I think that when we have all these meetings on EU Commission or whatever, there is a person in this company called [ Elisa ], that with me, Antonio and all the people talk to, because she can tell us exactly what is the story behind. Because if we read the newspaper or whatever, we do not understand it perfectly. As of now, now there is no change for us -- or there is no change in terms of regulation for us, factor number one. Factor number two, we did not change anything on our plans. So we stick to the plan that we have been showing with you. For the FX, Antonio will...
Antonio Picca Piccon: Based on the assumptions I outlined before, meaning with the U.S. dollar at 120 against the euro and with the current spot rate for the Japanese yen, we are assuming, as of now, considering the hedges that we have in place that we have built over the last 12 months on a rolling basis to have a headwind of about EUR 200 million that are already in the numbers we have been giving to you.
Horst Schneider: And do you consider pricing that, or -- because you don't do that in general?
Antonio Picca Piccon: Is the flexibility that we have contractually, we haven't assumed to use it in the numbers we gave you.
Operator: And now we are going to take our next question. The question comes from the line of Thomas Besson from Kepler Cheuvreux.
Thomas Besson: I have two questions, please. The first one, coming back to your Q4 average selling prices that were high. I understand you don't want to give the exact number of F80. Can you help us maybe with the share of XX products or the D2C [indiscernible] that were there explaining the strengths of the [ ASP ], given that I also know that your hybrid share was, I think, the lowest in 2 or 3 years in Q4. And typically, they tend to have higher prices than the average car. That's the first question. And the second, could you please talk about the F1 related headwinds for 2026, because of both the new regulation and last year's ranking?
Benedetto Vigna: Antonio, I think you can manage both.
Antonio Picca Piccon: Absolutely. Q4 ASP, in terms of the impact of the XX and Dodici Cilindri, I just mentioned that these were higher compared to our expectation. And this has been managed in relation to the changeover. Honestly, I don't want to give you -- I don't want to go into the details of the percentage of the units that we sold. Not extraordinary though, just higher compared to what we had previously expected. F1 headwind, we have put in the numbers the -- sorry, in the number, yes, the assumption that we know as of now based on current budget caps, both chassis and power units. We usually expect to have a seasonality that is stronger in Q1 and Q4, but being the year completely new in terms of technical regulation, we retain a bit of flexibility in this respect. And this is the volatility I mentioned before with respect to the application of the financial regulations in 2026.
Operator: And we are going to take our next question. And the question comes from line of Andrea Balloni from Mediobanca.
Andrea Balloni: Yes. A couple. The first one is about geographies. Even it's correct, deliveries to the U.S. declined a little bit more materially in Q4. That was a measure put in place in order to address any potential decline in residual value, but now you've mentioned to be pretty solid. Or exactly as about this market? And my second question is about sponsorship, which were quite supportive last year. What should we expect in 2026?
Benedetto Vigna: I think these are 2 questions that Antonio can manage.
Antonio Picca Piccon: Geographic mix, the Americas going down, has nothing to do with the strength of the demand. It's just modern changeover, and you will see it further in 2026. The second one, also sitting in 2026, we expect, as I mentioned before, to have a further support to revenues and EBIT growth.
Operator: Now we'll proceed with our next question. And it comes from the line of Martino De Ambroggi from Equita.
Martino De Ambroggi: One question on the free cash flow. So clearly, I understand the CapEx slightly higher, I suppose, below EUR 1 billion. But net working capital is expected to have a positive contribution for down payments also in '26 or not? Just to understand the strength of the free cash flow. And the second is on the EBIT bridge because in '25, the block referring to other items was up 110. If you could elaborate on what is your expectation for '26 on this block, although it is probably more difficult and a mix of different drivers?
Antonio Picca Piccon: Yes, on free cash flow. CapEx higher, you're right. Net working capital, we expect it to be more neutral compared to 2025, because this year, we had the very important impact of the advances collected on the F80. On the EBIT bridge for 2025, I would expect this to be positive once again due to the support that I mentioned before from both the -- but mostly, I would say, from sponsorship and rising revenues generally speaking.
Martino De Ambroggi: Okay. So net working capital, in any case, not negative. There is not a reversal of the trend?
Antonio Picca Piccon: There is a reversal, but we would expect other components to come to compensate.
Martino De Ambroggi: Okay. And very last Q1 and Q2, should we expect a flattish year-on-year performance? Or in any case...
Antonio Picca Piccon: The level of detail as of now. We'll see as we go.
Benedetto Vigna: We were one to give a yearly update.
Operator: Now we're going to take our next question. And it comes the line of Tom Narayan from RBC.
Gautam Narayan: Tom Narayan, RBC. I wanted to drill down on the FX, if I could, the guidance for 2026 EBIT. I think you said EUR 200 million impact. The Q4 bridge had a negative EUR 25 million impact. I think the dollar saw its biggest depreciation in Q4 '25. If I annualize that, I get EUR 100 million. Yes, I know the yen is another factor, as is the reversal of those hedges. But it just seems like EUR 200 million is really high, considering those. Maybe we could just drill down that a little bit to better understanding that? And then I realize it's a floor, but how should we think about the long-term guidance you guys provided at the October Capital Markets Day. Is it -- I mean now more likely you feel you'll exceed that floor? You're calling for 7% EBIT growth for '26. Even with those FX headwinds, the Capital Markets Day called flow 4 of EBIT growth of 6%.
Benedetto Vigna: Tom, I'll take the second one, and then for the FX, Antonio will be very precise. When we gave the visibility for 2030, we gave visibility after 60 months. If I go from October 9 until February 10, it's only 4 months. So if we change visibility because 4 months are gone after 6, in your shoes, I would be worried. So we stick to what we gave you on October 9, and we feel comfortable about the number that we shared with you at that time. For FX, Antonio can comment about the EUR 200 million impact.
Antonio Picca Piccon: Tom, when we speak about the foreign exchange impact on the EBIT, we always take into account the element of hedging that obviously, you can see, but that we built in terms of position over time, so on a monthly basis and having in mind an horizon of 12 months. So when you look at the Q4 2025, we have the positive impact coming from the hedges put in place basically between the end of 2024 and the beginning of 2025. When we look at 2026, we do not have the benefit of hedges put in place at that rate at the time it was 105 or in that region. Now in Asia during the course of this year, we've been starting building position from 115 on in terms of -- so the impact is clearly much more negative. Hope this helps.
Gautam Narayan: Okay. So just to confirm, so that means -- does that mean that the hedging piece is a greater negative impact than just the FX rates?
Antonio Picca Piccon: Compared to 2025, yes, it does not offset the negative coming from the spot rate.
Operator: Now we're going to take our next question. And it comes from the line of Michael Tyndall from HSBC.
Michael Tyndall: Mike Tyndall from HSBC. Two questions, if I may. I guess the first, sort of touching on what Tom was talking about in terms of 2030. Antonio, when you think about from here to 2030, is 2026 the toughest year in the plan? You don't have the full allocation of F80, you've got lots of model changeovers. You've got F1 cost inflation, you've got FX. Does this -- in your mind, is this the toughest year? Or are we looking at something -- are you seeing something later on that we're not seeing? And then the second question, I'm going to ask, but I suspect I'll get told I have to wait. Benedetto, have the repeat is already seen the Luce in its full glory? And if so, any indications on what their thoughts are, their indications? Because I'm guessing the way you operate, you've done it in fairly close communication with them. So fascinated to know what the die-hards are thinking about that product.
Benedetto Vigna: Thank you. I'd like to comment that the client did not yet see the Ferrari Luce in full glory. They see only the internal glory, let's say, the interiors. To see the full glory, I think we have to wait 25th of May, as I said before. So the unveil process will be complete end of May. What I can tell you is that the indications are very positive. The people who were, as I said, some of them said we are -- some people attending over there said, we are extremely happy because you -- because we are the only one to have all the modernization. And what I like is we. They were talking about them being part of the community. They were not saying you. For the price, clearly, we have a price in mind, but this will be shared after the complete unveil the process like we are doing for all the model since ever. The other question to complete what I told Tom before. You said in the first part of your sentence, you gave for granted that 2026 is the toughest year in the plan, and then you may ask a question. I think that what we have been always saying, and Antonio was very clear also in his part in the presentation of Capital Market Day that the business plan is stable and linear. So Mike, don't take this hypothesis that 2026 is the toughest year in the plan.
Michael Tyndall: Got it.
Benedetto Vigna: 2026 is a year of growth. Remember this.
Operator: And now we're going to take our next question. And it comes from the line of Anthony Dick from ODDO BHF.
Anthony Dick: Yes. The first one is a quick technical one on the Q4. You mentioned two tailwinds on the R&D side, the government grants and the lower F1 ranking. Could you please give us the magnitude of those two impacts? And do you still expect to receive a government grants in 2026 also? My second question is on something else you mentioned that I hadn't heard before with the spare parts business. Could you just remind me actually what that represents for you and what is driving the increase on the spare parts and how relevant it is for your business? And the last one I would have is on the cost side. You also mentioned lower costs here. So just trying to kind of understand what are the drivers. And maybe actually, just a quick last one on ASP. So I know you won't provide the F80 deliveries. But I was wondering if there was anything also else that drove the ASP increase in Q4 other than the SF90 XX and the 12Cilindri maybe tariffs impact? Or also, if the F80 contribution offset or was larger than the Daytona SP3 contribution last year?
Benedetto Vigna: Thank you, Anthony. I'll take the second one for the spare part. And the answer when you say what drives the increase of this part is because the people -- we have more and more people that are enjoying the car. That are -- when you use more of the car, clearly, you need more spare part. So this is the reason why we have an increase in spare part. There was also a price increase last year. But there was also a clear trend of our clients to use more of the cars. For the other 3 questions, Antonio will be very specific.
Antonio Picca Piccon: Yes. With respect to Q4, the R&D tailwind that you mentioned. This is a grant that is related to the development contract that we announced back in 2022, I guess. So yes, there will be other grants expected in future years. R&D and ranking all together account for a bit more than half of the positive change compared to our initial guidance -- the latest guidance. Lower cost in 2025, I mentioned compared to our expectations, okay? So it all ended up being better in terms of industrial costs and even slightly in terms of SG&A. You -- as far as Q4, once again, with respect to Q4, yes, tariffs obviously compared to Q3 were slightly more benign because most of them were based on the 15% rate that was applicable after August 1. I think we have flagged all with this question.
Anthony Dick: Maybe just on the spare parts one. Could you give us a sense of what it represents as a part of the car and spare parts business, revenues?
Benedetto Vigna: It's a good try, Anthony, but we don't share this detail. What I can tell you is that really, the people are enjoying more and more, the Ferrari. The product portfolio is going in that direction to let them enjoy more and more. And thus, they are -- they have to buy more spare parts. I would stick to this, really.
Operator: And now we're going to take our next question. And it comes from the line of Christian Frenes from Goldman Sachs.
Christian Frenes: Most of my questions have been asked, but two more from my side. Your R&D capitalization ratio was a bit lower than I anticipated. Can you comment a little bit about what we should anticipate going forward for R&D capitalization? Is this a new run rate? Or should we think about longer-term mean reversion there? And my second question, just going back to residual values. Can you just comment outside of the U.K.? Just -- if I understood you correctly, you have not taken any additional actions, right, in terms of addressing softening of residual values. Is that the correct understanding?
Benedetto Vigna: The second one, what we said and what -- also in the past, what I said a few minutes ago is that in U.K., the residual value is stabilizing also because we reduced the number of cars we gave in that part of the world. And this is the action basically that was put in place. It's nothing new on this front. For the capitalization ratio, Antonio?
Antonio Picca Piccon: Yes, it actually depends on...
Christian Frenes: Sorry, the question was for outside of the U.K., not for the U.K.
Benedetto Vigna: No, no. There is -- the action was specific to U.K. There is nothing ongoing from the rest of the world, sorry.
Antonio Picca Piccon: With respect to the capitalization ratio, this very much depends on the overall capital expenditure by here. And the development of the expenses for innovation that, as you know, are mostly related to significantly related to our rating activity. So it very much depends on that moving part. That in turn depends on the financial regulation from the FIA. I would bet on stabilization of the ratio going forward.
Operator: And now we're going to take our next question. Just give us a moment. And the question comes from line of Henning Cosman from Barclays.
Henning Cosman: I was hoping to come back to the shape of the plan through to 2030 again. I'm just conscious that you're guiding about 29.5 now, the guide for 2030 is above 30. I'm just wondering what you're seeing in the back half of the plan because of the top line growth keeps on coming through, I suppose, already through the operating leverage, we would expect to be above. So I think you're now seeing 20% personalization in '26. I think you might have expected that to decline a little bit sooner? Is it most debt and the high sensitivity to personalization because you still think that's going to go down closer to 19 or something like that later on in the plan? Or anything at all, because I think most of us are sort of wondering are you now on a steeper trajectory and will you perhaps decline in the latter half of the plan? Is that at all conceivable. If we could just discuss that in as much color as you can.
Benedetto Vigna: Thank you, Henning. Also, thanks for making the compliment to the team for what has been achieved, really appreciated. When it comes to the shape of the plan, I think I understand what you are saying and also other colleague of yours has been asking us before. But I believe it's important that a company is consistent and it's -- it delivers a result with focus and discipline. As I said before to the colleague, if after 4 months, we changed the target that we set for 60 months -- and I agree with you, we gave a threshold -- well, I think that we wouldn't be consistent. I think that what we have shared with you is what we believe is a threshold that we can deliver to you with confidence. We have been assuming -- we're making some assumption. And I don't think it's time now after only 4 months to change something that will happen in 50, 60 months. It would not be -- sorry, I think that starting from myself, Antonio and all the company, we wouldn't be credible after a spike in a quarter, and then you change the view. So we thank for the complement, we thank for the -- if you want, the way I see increased the confidence in us. But let us work, we focus on discipline. And then if -- when we have to change, for sure, it is not after a few quarters, okay? But let us work on this direction, ending and we stick to the plan we shared with you.
Henning Cosman: And can I ask one more on the Luce?
Benedetto Vigna: Yes.
Henning Cosman: I think I read an interview with your Director of Marketing. And I believe the wording was something like you'll be quite selective and you only give it to people who appreciate it. And I believe what I read into that is that you're going to be quite sort of restrictive with the number of unit sales. I think we also remember that you deliberately said it's not going to be a special, but I was wondering if we could perhaps talk a bit about again, if it could be a range model that with quite low unit sales, considering what your colleague said in the sense of view?
Benedetto Vigna: I think that, okay, Ferrari Luce is the car that we unveiled the second step last week. What I can tell you, I can guarantee you is that we will not sell this car to people that do not want the car. I mean, if the people, the client, existing and new, mostly existing, have to buy this car because they love the car, because they decide the car. Because this is a car, Ferrari Luce, that is also electric. It's not an electric car. You know what I mean? So if the people, if the client like, love the cars, they want to buy it, they buy. We will never force our client that to have, let's say, 849 Testarossa or whatever is going to be called the next car, they have to buy an electric car. This is being said loudly clear already to many clients. It has been shared also with the Board of the company, this approach. And it is said also, I said personally, like also the Chief of Marketing to several dealers in these days, the colleague are having different meetings in Japan, in U.S., in China. And the message -- one of the key message is this. You do not have to force clients to buy something that they don't like. Some -- this would be a biggest mistake, and I think we have to learn from what we do wrong and what the market is doing wrong, okay? So that's what I can say, Henning.
Henning Cosman: Yes. And sorry, just maybe a very short follow-up. So if you were to discover in the course of the plan that people want combustion engine vehicles a lot more than hybrids or electric vehicles, would you rather sell fewer, but stick to the 40-40-20? Or I suppose Horst has asked in a way, but I'm trying again. Would you be able to change the 40-40-20? Or would you still go through with that just sell fewer of them only to the ones who really wanted?
Benedetto Vigna: Thank you for this question. Maybe what I said at the Capital Market Day, there was a question also about this, and maybe I was not clear. What I said is that today, the visibility we have is 20-40-40. This is the split in terms of product offering. If something will happen, I think we are a company that is the big benefit to have a small, agile and nimble, call as you want. And then we may review in '28, maybe we see. I think that one important point, and I appreciate you underlining it that our offering split will be 20-40-40. So I think that when the situation is changing, when the things are uncertain, I think the company has been always showing in the past that we are nimble, and we are adapting to what is coming. At the end of the story, at the center of what we do, there is only one thing, the client. That's it.
Operator: Now we're going to take our next question. And the question comes from line of Nicolai Kempf from Deutsche Bank.
Nicolai Kempf: It's Nicolai from Deutsche Bank. And also from my side, well done for a strong finish. First question would be also on revenues in Q4. And do you kind of share how many 499 Modificata you've been sold in the last quarter? Because I think there's also quite an impact on the ASP. And then the second one, a bit more long term. We've seen a strong rise in revenues per unit. Also, you have stated that the residual values are under control and stable. So does it make sense to go long term a bit more for higher volumes, given that volumes have been down last year and probably flat this year?
Benedetto Vigna: No, I thought you -- no, no, sorry, I was laughing with Antonio because I was saying it's -- we take it as a positive appreciation as appreciation and more confidence in us, and we want to thank you. I think that we need to make sure that with respect to the client, as I told before, the client is the most important asset. And I think we need to make sure that the people, when they own a Ferrari, they feel exclusive and they own something that not so many other people can have it. So we don't disclose the number of the volume, neither at the Capital Market Day, not today. Let's -- I mean, we are a company that is looking at the business with the goal of having a marathon, not a sprint race. And number two, we want to look at the quality of the revenues, not at the volume. So Ferrari is not a volume business. We are a luxury company. We want to make sure that when the client owns something, a Ferrari, they are sure that not so many other people can have it. And the first one on revenues in Q4 and for...
Antonio Picca Piccon: Yes, the 499P Modificata, a few units in Q4, very much in line with the average of the previous quarter. Just have in mind for next year that will lower the number of 499P Modificata, in 2026, and this is in our numbers compared to 2025.
Operator: And now we take our next question. Just give us a moment. And the question comes from the line of Michael Binetti from Evercore ISI.
Michael Binetti: Congrats on nice fourth quarter for me. Personalization in Formula One, I think those are the 2 lines that you put in the description of the revenue drivers for 2026 that look a little different from how you were talking about 2026 over the past few months in the pre-close call, I think you were assuming that personalization would start to move towards that 19% long-term number. And then F1, I think, is now seem to be higher. Can you maybe just a quick thought on what's changed in the last few months around your assumptions for those 2? And then on -- on the order book, Benedetto, I might be reading it wrong, but maybe the description of the length of the order book seems a little bit shorter. And I don't know if that's right, but regardless of whether it is, I'm curious how you're operating it and if there's any changes because you're operating more efficiently or changes in customer preference or experience or just better, faster at personalization. I guess the bigger picture question is I'm thinking about how much capacity in your words, flexibility you added with the e-building. One message that we've heard from some of the dealers and clients is that some have been on the wait list for a long time for some of the models like Purosangue. I wonder if perhaps there's some operational improvements that have helped speed some of those things up to look ahead to?
Benedetto Vigna: Thank you, Mike. I think that, as I said, the order book is strong and then it extends towards the end of 2027. That's what I said today. In the past, we also said that -- and you remember well, the e-building guarantees us some flexibility that allows us the possibility to offer more personalization. And you also remember or what I told that -- we don't want to be caught anymore by surprise as it was the case of the Purosangue the beginning. You remember a couple of years ago, there was a strong demand of some personalization we were not ready for. So what we agreed is that to put this capacity in place so to accommodate swing in the personalization of demand that clearly, it's difficult to plan and to foresee. So the -- for sure, the e-building as our increased capacity at our some of our supplier for some personalization that we believe can be more appealing. This is helping a lot, okay?
Antonio Picca Piccon: So, Michael. And with respect to your first question in respect of the revenues from personalization and from racing, I think you are pointing to 2 areas where our visibility is shorter compared to what we have for cars and parts. Personalization, as we repeatedly mentioned, is usually finalized 4 to 5 months before delivery of the car. So it's quite normal that we adjust as we see it. That's why if you compare, for example, the 20% we are giving you as a guidance, now we would be 19% we may have mentioned previously, maybe see a difference. The second -- similarly, even from -- for the revenues from rating sponsorship, it obviously depends also on the development of the contract with our partners.
Michael Binetti: And Antonio, just to follow that, given that you don't have a lot of visibility out very far in personalization, but you do assume that it will come down over the course of the plan to 19%. If your answer is just like have some conservatism in the guidance because it's [indiscernible].
Antonio Picca Piccon: Not just that, the ratio depends also on the denominator. So take that into account as well.
Michael Binetti: Is there something in the baseline that just can't move higher, we have peak carbon fiber? Or is there any -- is there something that can't move higher that makes us think that [indiscernible]?
Antonio Picca Piccon: Nothing on the top line, meaning in terms of what we are actually working on personalization to reach it and to be able to serve our clients better and with diversified products. However, even the cars base is different and the level of personalization may depend on the mix of cars and on the side of the revenues from car.
Benedetto Vigna: I think it is also important to add one point. Also, some personalization. Clearly, we put some capacity in place. But for some personalized items, we don't want to go beyond a limit also because we have always in mind that this story of exclusivity, okay? There are some specific personalization items that is through increasing capacity, but there are some models that we don't want to personalize all with this. Otherwise, we'll be not any more personalized or special. Let's put it this way. Okay? So it's a choice. It's a deliberate choice.
Operator: Now we'll go and take our next question. And the question comes from line of Michael Filatov from Berenberg.
Michael Filatov: I just wanted to double down on one of the questions asked earlier around some of the assumptions baked into the 2026 guidance around the Luce. Maybe you could speak more broadly about where you expect this to sit with relation to the range models in terms of volumes? And then a follow-up to that is, where do you see white space in terms of your geographic mix? Are there certain regions you feel like you have more room for growth, for example, as you reduce volumes to the U.K., where do you see room to shift that volume as we go forward?
Benedetto Vigna: I think that I don't want to specify which model is it. I think that it's clear that will be a sports car. We said we have 4 doors. In terms of geographic mix, we don't have any -- we see interest from people of different regions. So we don't have a specific mix. Clearly, there will be some dealers where we will put more attention also because we have 200 dealers, and we don't want to push all these 200 dealers altogether. So we will go also there with focus, but there are -- there is interest from people, from clients of different geographies. And the car is done to address different geographies.
Michael Filatov: Understood. And just in terms of where you think volumes could be for the Luce, where it sits in terms of the volume allocation within the range lineup? I know you haven't disclosed what the exact segments will be, but anything in...
Benedetto Vigna: You can make up your own model. You know what? I think there was a similar question in Capital Market Day. And don't -- if you want to be a true high-performance sports car with a lot of high performance over a long time, we said in the Capital Market Day, the battery performance, whatever is the technology in this world at this time is not such to maintain those performances for a long time. So when we decided which car model we did we want to do, we considered the limit of the current electric cell battery, and we stick to that. I think this is one bit of information you can use also and we deliver we shared with you at the Capital Market Day.
Operator: Now we're going to take our next question. The question comes from line of Sam Perry from BNP Paribas.
Samuel Perry: So you've given some guidance on mix of specials over 10% cumulative to 2030. Can you give any indication of where that could get to in 2026? And then a clarification question on Slide 7, you show the models being phased out. Is that end of production or last sales? I guess I'm specifically talking about the 296, which is coming from quite high volumes at the moment. Could you expect shipments to continue into maybe the start of '27? Or is that meaning last sales in '26?
Antonio Picca Piccon: Phaseout means phase out, meaning the stop of deliveries. And with respect to guidance on mix, there is no specific difference compared to the average guidance for the plan by quarter for quarter.
Operator: Now we're going to take our next question for today. And it comes the line of Gianluca Bertuzzo from Intermonte.
Gianluca Bertuzzo: I think I made the same question to you about the Purosangue, and you've been very kind for the answer. But when you think about the Ferrari Luce and exclusivity, where do you see it playing less than the Purosangue with 20%? Any thoughts are helpful. And second one on geographical perspective. Should we expect some positive impact from India lowering the tariffs? Do you see this as an opportunity to improve there?
Benedetto Vigna: Two -- The India is an opportunity. We want to focus more and more over there. Clearly, it will take some time. Clearly, the lower -- I mean, the new economic deal between Europe and India is facilitating. But to develop a market. It is not something that you go from one day to another. In terms of Luce, I would like to tell -- I mean, I remember that you asked the same question for Purosangue. But at that time also, I told you that it will be something that we will chase a due time in the right way. One of the things when you do luxury products -- and I think here, we are doing -- we are a luxury company. We have to manage properly information in a way that they are delivered at the right time. We just think about also Luce, the 3-phase unveil process. I think this is important Gianluca, I'm sure you know, and I'm sure also that you tried your best to model, but I'm sure also you were expecting this kind of answers.
Operator: There are no further questions for today, and I would like now to hand the conference over to Mr. Vigna for any closing remarks.
Benedetto Vigna: So I would like really to appreciate all of you also for the time we spend, we spend more time. We want to spend more time together to take all your questions and also to thank dearly for your -- to follow us. I think that what I would like you to remember is that the year '25 is a remarkable year. This is the objective that I would like to remember about this year. And this represent and underscore once again the strength of our business model. And with this, we continue to execute our business plan with discipline and confidence -- with discipline and confidence remaining true to our identity forward-looking, and defined by our will to progress. And with this, I would like to wish all of you, good morning, good afternoon, and thanks again for your time, for your questions and for all your support [Foreign Language].
Operator: This concludes today's conference call. Thank you for participating. You may now all disconnect. Have a nice day.